Operator: Good morning and welcome to Lazard's Second Quarter 2024 Earnings Conference Call. This call is being recorded. Currently all participants are in a listen-only mode. Following the remarks, we will conduct a question-and-answer session. [Operator Instructions] At this time, I will turn the call over to Alexandra Deignan, Lazard's Head of Investor Relations, Treasury and Corporate Sustainability. Please go ahead.
Alexandra Deignan: Thank you, Ashley. Good morning and welcome to Lazard's earnings call for the second quarter and first half of 2024. I'm Alexandra Deignan, Head of Investor Relations, Treasury and Corporate Sustainability. In addition to today's audio comments, we have posted our earnings release on our website. A replay of this call will also be available on our website later today. Before we begin, let me remind you that we may make forward-looking statements about our business and performance. There are important factors that could cause our actual results, level of activity, performance, achievements or other events to differ materially from those expressed or implied by the forward-looking statements, including but not to those factors discussed in the company's SEC filings which you can access on our website. Lazard assumes no responsibility for the accuracy or completeness of these forward-looking statements and assumes no duty to update them. Today's discussion also includes certain non-GAAP financial measures that we believe are meaningful when evaluating the company's performance. A reconciliation of these non-GAAP financial measures to the comparable GAAP measures is provided in our Earnings Release and Investor Presentation. Hosting our call today are Peter Orszag, Lazard's Chief Executive Officer; and Mary Ann Betsch, Lazard's Chief Financial Officer. After our prepared remarks, Peter and Mary Ann will be joined by Evan Russo, Chief Executive Officer of Asset Management as they open the call for questions. I'll now turn the call over to Peter.
Peter Orszag: Thank you, Ale and good morning to everyone on today's call. We are pleased to report another quarter of strong results as we continue to pursue a long-term growth strategy. For the first half of the year, total firm-wide adjusted net revenue was $1.4 billion, up 25% from the prior year. Financial Advisory adjusted net revenue set a record for the first half of the year at $855 million. This growth reflects our expanding traction with clients and ongoing improvements in market conditions along with momentum behind our vision for Lazard's future and success in executing our long-term plan. Our Asset Management business delivered solid results with adjusted net revenue for the first half of the year of $541 million. In a complex market environment, our investment professionals are continuing to help clients diversify their portfolios and achieve desired risk-adjusted returns. Our effective execution during the first half of the year is also built upon our culture. Across the firm, there is a palpable sense that our increasingly commercial and collegial approach is delivering positive outcomes for clients and strengthening our reputation for excellence. I'll share more on our performance and outlook shortly. But first, let me turn the call over to Mary Ann to provide further details on our results.
Mary Ann Betsch: Thank you, Peter. Today, we reported second quarter firm-wide adjusted net revenue of $685 million, up 10% from the same time last year and $1.4 billion for the first half of the year, up 25%. The increase in firm-wide revenue was driven by our Financial Advisory business. Financial Advisory adjusted net revenue was $408 million for the second quarter, up 19% from 1 year ago and a record $855 million for the first half of 2024, up 38%. Our banking teams performed well across both the United States and Europe, with record revenue for the U.S. in the first half of the year. Strategic M&A, Restructuring & Liability Management and Private Capital Advisory all benefited from expanded activity and meaningfully contributed to our results. Lazard participated in a number of marquee transactions in the second quarter. Completed transactions include WestRock's combination with Smurfit Kappa Group, Vertex Pharmaceuticals acquisition of Alpine Immune Sciences, Sanofi's acquisition of Inhibrx and HASI's strategic partnership with KKR. In addition, recently announced transactions include Rivian's strategic investment from Volkswagen and Neiman Marcus Group sales to HBC, the parent company of Saks Fifth Avenue. We also advised on several capital markets assignments, including Ceva Sante Animale's term loan repricing and resizing, Morrisons' debt reduction, Kingswood Capital's closing of its Opportunities Fund III and Exosen's initial public offering on Euronext Paris. Turning to Asset Management; for the second quarter, adjusted net revenue was $265 million, down 1% compared to the second quarter last year. Management fees for the second quarter increased 1% compared to the second quarter last year. As of June 30, we reported AUM of $245 billion, 2% higher than June 2023 and 2% lower than March 2024. During the quarter, we had market appreciation of $2.5 billion offset by foreign exchange depreciation of $1.7 billion and net outflows of $6.6 billion. Average AUM for the second quarter was $245 billion, 4% higher than the second quarter of 2023 and down 1% on a sequential basis. We see ongoing client interest across our investment platforms, including growing client engagement in our global emerging markets, quantitative and fixed income strategies. Now turning to expenses; for the second quarter of 2024 our adjusted compensation expense was $452 million resulting in a compensation ratio of 66% compared to 68.4% for the second quarter one year ago. We continue to attract senior professionals in both Financial Advisory and Asset Management as we invest in talent to support our long-term growth. For the second quarter, our adjusted non-compensation expense was $149 million, up 3% compared to the prior year and equating to a ratio of 21.7% compared to 23.2% one year ago. We continue to make targeted investments in the business while remaining focused on expense management. Shifting to taxes; our adjusted effective tax rate for the second quarter was 14% reflecting a favorable court decision in a long-standing tax matter during the quarter. This compares to 31.2% for the second quarter of 2023. We expect our full year 2024 effective tax rate to be in the mid-to-high 20% range. Turning to capital allocation; in the second quarter of 2024 we returned $70 million to shareholders including a quarterly dividend of $45 million, share repurchases of $19 million and $6 million in satisfaction of employee tax obligations. During the second quarter, we repurchased approximately 500,000 shares bringing our year-to-date total repurchases to 1.1 million shares. We currently have outstanding share repurchase authorization of approximately $360 million. We remain committed to balancing investments in growth with returning capital to our shareholders with a quarterly dividend of $0.50 per share declared yesterday. Now, I'll turn the call back to Peter.
Peter Orszag: Thank you, Mary Ann. Overall, the economic conditions relative to our business continues to improve. As we anticipated earlier this year, inflation is heading in the right direction now that residual seasonal factors are largely behind us. With the odds of a Fed rate cut this year now higher, we expect further improvement in the operating environment for both of our businesses. In Financial Advisory, during the first half of this year, headwinds for activity have tapered and deal financing has become more readily available. At the same time, the fundamental drivers of deal activity are ongoing, including innovations driven by technology and generative AI, energy transition, the biotech revolution and shifts in supply chain globally. Improving market conditions along with the successful execution of our growth strategy have resulted in record revenue. We continue to expand in areas such as private capital with the combination of our capital solutions, fundraising and sponsor coverage, delivering growth in the quarter and creating new business opportunities. Restructuring & Liability Management also contributed to a record first half of the year with ongoing client demand for our expertise. Our geopolitical insights increasingly generate client interest and our geopolitical team is producing revenue both directly and indirectly by expanding client connectivity. We are pleased to have achieved record revenue in the United States and to be ranked in the league table number one globally for restructuring completions in the quarter and number one in France for announced and completed M&A transactions for the first half of 2024. Deep knowledge of our markets, long-established client relationships and increasingly collaborative efforts across the firm reinforce the power of our integrated and global franchise. Finally, our culture and brand are attracting exceptional talent to the firm as is a growing recognition of the momentum behind our vision for Lazard. We have hired 9 Managing Directors in Financial Advisory so far this year with ongoing recruiting efforts underway and additional new hires expected. With more favorable conditions and the higher likelihood of a Fed rate cut this year, we anticipate that our Asset Management business also will benefit as investors shift toward more risk-oriented Asset Management. For the first half of the year, the higher for longer rate environment reduced allocations into active equity strategies by reinforcing the appeal of money market investments and fixed income products. Market conditions have also resulted in investors favoring U.S. equities with a focus on growth. Our Asset Management business, by contrast, skews towards equities and largely comprises global, international and emerging market offerings, with an emphasis on relative value and quality investment styles. More specifically, the bulk of our offerings today can be divided into 2 categories. The first which we call core products play a foundational role in client portfolios, with significant allocations that are central to what the asset owner is trying to achieve. Lazard is often chosen to deliver these core products because of unique insights from our deep global research capabilities. The second category of our Asset Management business is specialty offerings. These are built upon specific theme sectors or specialized product expertise. The purpose here is to add more targeted assets to the asset owner’s portfolio. Examples include our Japanese equity, listed infrastructure and convertible arbitrage strategies. Looking ahead, we see three areas for expanded activity in our asset business. The first is that we anticipate more demand for our existing core and specialty offerings as Central Bank's lower rates and the market rally broadens beyond a handful of U.S. growth stocks. Over time and especially as investors look to diversify, we expect that both our core and specialty offerings in global active public market investing will attract new client opportunities. We also have been investing in our distribution capabilities, including wealth management, so that we can reinforce the strength of our offerings as market conditions shift. The next area for additional activity in the future is the development of new specialty products and strategies which we incubate and scale along with new ways of packaging these products. As examples, we have introduced our U.S. small cap equity fund which is designed to capture market inefficiencies through an AI-enhanced investment process. We also launched the Lazard Global Listed Infrastructure Active ETF in Australia which builds on the success of one of our specialty strategies. This marks an initial step in delivering our expertise in a vehicle that reflects growing investor preferences. Finally, our third area for expanded activity is continuing to evolve our Asset Management business through new opportunities outside of public markets. This includes inorganic growth through acquisition or partnerships into new products and strategies. For example, during the quarter, we established Lazard Elaia Capital, a strategic partnership in Europe that will launch a growth capital fund to invest in private companies within the technology industry. Overall, Lazard delivered another quarter of strong results, providing further evidence of progress toward our long-term growth objectives. While we are in a period of geopolitical uncertainty, we see a constructive environment for business activity in 2024, both in the U.S. and in Europe. In all environments, we remain focused on our clients who choose Lazard to help them navigate their most complex risks and opportunities. We are consistently executing against our Lazard 2030 plan and are even more encouraged by the progress to date which is ahead of schedule. Our galvanized team, strategic hiring and renewed ambition have positioned us to capture market share. As we transition to an environment where Central Bank's reduce rates, we anticipate improved conditions for strategic deal making, elevated sponsor activity and increased appetite for active Asset Management. I'd like to thank our colleagues for their extraordinary efforts and energy behind achieving our vision for Lazard. Now, we'll open the call to questions.
Operator: [Operator Instructions] We'll take our first question from Ryan Kenny with Morgan Stanley.
Ryan Kenny: A few of your peers have commented on sponsor activity really picking up in the second quarter kind of behind the scenes. Are you seeing the same thing? And any color on what conversations with sponsors are looking like; and any significant change versus last quarter?
Peter Orszag: Sure. First, let me just start by saying we have been investing a lot in an expanded array of coverage efforts with regard to private capital. So that's a combination of our PCA business that does primary and secondary fundraising. Our Lazard Capital Solutions business that helps arrange innovative financing or strategics, often with private capital sources. It includes our reconfigured restructuring liability management team that now does both debtor and creditor work often in conjunction with private capital. It includes an expanded sponsor coverage effort, including a new senior hire and another senior hire covering sovereign wealth funds and it includes more traditional private equity M&A coverage. So that all feeds on itself. The result of that is that the share of our revenue associated with private capital is currently more than 1/3 -- advisory revenue, let me be clear. And we do see increased activity coming from sponsors as the M&A cycle broadens and deepens. It to-date [ph] has been focused a bit -- well, more on the strategic side and that is starting to spread sponsors. I think that's a combination of factors that have been commented on, including the desire among LPs [ph] to see some cash returns, the large amount of dry powder that potentially could expire unless it was put to work. And importantly, the ongoing reduction in inflation which is leading to an expectation of rate cuts which helps to not only improve financing conditions but also narrow the bid-ask spread between buyers and sellers of assets. So we are seeing it starting to spread and we've got a significantly expanded capability at Lazard to meet the market where it's going in terms of additional sponsor activity.
Ryan Kenny: And just a follow-up on the election cycle. You mentioned before that global election cycle is a relative headwind to M&A activity picking up. Is that still the case? And how should we think about that headwind, balancing versus the tailwinds of rate cuts coming and higher market levels that we saw on a year-over-year basis.
Peter Orszag: Yes, I don't really view it as a headwind necessarily as opposed to just a factor that clients want to take into account as they consider what they do. I've said before and I believe it's still to be true today that you can't make an important business decision without taking geopolitical considerations into account. And we are seeing a more constructive environment across the board despite the fact that there have been a lot of elections across the globe and there will continue to be some including an important one here in the United States. So it is something that is taken into account in boards and C-suites as it should. It is creating significant demand for our geopolitical team. And it is, I think, a relative strength of Lazard's to help navigate these sorts of issues.
Operator: We'll take our next question from Jim Mitchell with Seaport Global.
Jim Mitchell: So you've had record first half revenue on an annualized basis. It's the second best year ever, except for '21. I think you had talked about in a normal year with the 10% headcount reduction and efforts to be more efficient on the non-comp side; you can kind of get to your pre-tax margin goal. I realize not all those savings are hitting this year. But can you speak to where we stand on kind of hitting those targets given the improving revenue environment and obviously, the expectation that things could even be better next year?
Peter Orszag: Sure. And look, we remain committed to hitting those margin targets and goals as conditions continue to improve. I would note that while we see increasing momentum and believe that there is increasing traction with clients, we have to wait and see exactly how the year turns out before reaching the types of conclusions that you were reaching. But maybe turning to the biggest driver of that with regard to the comp ratio, I would note 2 things in particular. One is we are seeing and obtaining increasing traction with really talented bankers that want to join Lazard, I think they sense the momentum that we have. And we will be taking advantage of those opportunities to add to our talent pool as they arise which may temporarily result in a bit of ongoing elevation in the comp ratio, even though the comp ratio has come down relative to last year. So we will grab those opportunities as they present themselves because they lead to future growth and future margin improvement down the line. And the second thing is that if the year does turn out to be a strong one. And again, we need to let this play out. But if it does turn out to be a strong one, we may have the opportunity -- we chose to take the opportunity to reduce our deferral rate which would then mean lower comp ratios in the future as a result. So there are various factors that go into this year beyond just the state of the market. Hopefully, that's responsive.
Jim Mitchell: Yes. No, that's helpful. And maybe just to your point on investing, I know you've talked about kind of trying to add on net 10 MDs or so every year. Are you sort of on that after sort of the reduction in force, do you see adding that level or better this year?
Peter Orszag: Yes. We are -- again, as I mentioned at the open, we have hired 9 Managing Directors in Financial Advisory in, I think, areas of new strength for us, including sports media and entertainment, including in restructuring, including in consumer, including in sponsor coverage and sovereign wealth coverage, so areas that we see a lot of revenue potential in. There are more Managing Directors that have already signed up and that we will be adding to the rings in future months. And there are ongoing very active discussions with lots of talent across multiple different sectors. To answer your question that we are on track, measured Q1 to Q1 which is how we will be measuring the net add of 10 to 15 MDs per year. They are on track to hitting our objective. I'd also note, by the way, -- the other objective we had for next year was a productivity goal and we are tracking well on that, too.
Operator: We'll take our next question from Brendan O'Brien with Wolfe Research Search.
Brendan O'Brien: I guess to start, I just want to follow-up on the election question asked earlier. While the elections in the U.S. could result in an FCC that is more conducive to M&A activity, it also bring in a far more protectionist regime. So I just want to get a sense as to how this could impact cross-border activity, given this is a big area of strength for your business?
Peter Orszag: Yes. Look, I think we're -- in a hypothetical world, we don't know which way the election will turn out even if the election turns out in a particular way, we don't know how quickly or even if but especially how quickly some of the proposals that have been bandied about would be implemented. But just to go directly to your question, actually, the imposition of significant tariffs, while perhaps not ideal from a macroeconomic perspective, could lead to an increase in cross-border M&A because imagine that the U.S. put up significant tariffs, there is increased demand for firms, especially from Europe, to then get inside of that tariff wall and thereby escape the tariffs. So again, we see increasing momentum under a wide variety of scenarios. And just to be very specific to answer your question, if anything, the imposition of tariffs should lead to more cross-border M&A, not less, for the reason that I just mentioned.
Brendan O'Brien: Got you. And I guess for my follow-up, I just wanted to touch on the Asset Management business. Flow trends there continue to be challenged which with remixing dynamics also weighing on the fee rate. However, we have seen a sizable rotation to value over the past few weeks, while the dollar has also been steadily declining. So I just want to get a sense as to how this has been impacting your dialogues and if this -- when we could potentially see some improvement in those flows?
Peter Orszag: Sure, I'll answer this quickly and then maybe Evan can add additional color. Backward looking, very important contributor to net flows is the reduction in gross inflows that came from -- that were associated with an elevated rate environment that higher for longer environment that I mentioned earlier which increases the attractiveness of other assets like, T-bills in money market funds and reduces the attractiveness of active management, especially value and relative value strategies. What -- to your point, what we are seeing is -- at least over the last couple of weeks -- a rotation into smaller cap and value stocks. We do think that, that is attractive for the business mix that we have. And more broadly, I think it reflects the fact that as inflation comes down, as I said and the rate environment shifts which we believe it will, the attractiveness of what we have to offer investors only increases. But why don't......
Evan Russo: I think you summarized that well, I think I'd add, look, there's definitely been a focus for many of the allocators on the U.S. market, certainly the growth part of U.S. investing styles which has been the outperforming area for the last several years. There's definitely been more allocations focused into those areas and away from global international EM and everything relative value and quality. So yes, the trend that you're bringing up, over the last couple of weeks certainly moves in the right direction. I'd say, look, these things don't happen overnight. This is a short-term momentum shift potentially. We've seen some of these in the past that quickly reverted. So we'll have to wait and see. Although the conversations and the dialogues that we've been having continue to grow across all of our platforms, there's definitely a belief that many of the allocators and portfolios in general are under allocated to some of the stylistic components of value, relative value and quality and definitely more global and international and emerging markets. So there's definitely under allocation. I'd say we haven't seen the rebalancing as of yet. I think as markets continue to move in that direction that you mentioned and also the rotation from large cap to small cap will definitely start to see more interest across the allocation -- the allocators thinking about portfolio rebalancing, thinking about the opportunities ahead over the next part of the cycle and that should play well to our strengths.
Operator: We'll take our next question from Devin Ryan with Citizens JMP.
Devin Ryan: First question just on the advisory outlook. Obviously, really strong first half of this year. Your revenues appear to be recovering faster than peers. And so I appreciate it's only a couple of quarters. I hate to get too precise on kind of market shares over short periods of time. But how would you think about kind of what's driving the market share gains that you've seen this year? Is it client mix or business mix? Or how much is that? And then do you think you can maintain this type of market share or you see market share gains from here as the M&A markets kind of broaden out and further normalize?
Peter Orszag: We have seen strength pretty much across the board, across geographies, across lines of business, both M&A and non-M&A. And we just continue to execute against our Lazard 2030 plan. We see continued growth ahead. It won't be linear necessarily but increased momentum over time. And I think it's more than sustainable because we've got a plan in place. We've got identified areas of opportunity that we are going to pursue. And we've got a sense of renewed ambition at the firm which is paying off. So it's built on a cultural foundation. But then on top of that is very clear opportunities for us to gain additional revenue in very specific areas and that's what we're executing against. So 2 recent examples are, we saw increased -- well, 3, I'd say. The biggest category is with regard to private capital. I already mentioned that we saw an opportunity to expand our interactions with private capital which we have been doing and that includes new hires and it's already paying off and we think it will increasingly pay off. And then 2 other areas that are -- actually, I'll do 3 other areas, why not, that are worth highlighting. One is in sports media and entertainment, where we were underweight and we now have an exceptional leader who I think is going to build that practice out over time. Second is in consumer, where we were lagging somewhat. We now have, again, an exceptional leadership team and we'll be building that out further. And the third is in health care, where we had historical strength. We've added a senior banker in Europe to that team. There will be more additions coming and there are opportunities for us to gain market share there, especially, for example, in biotech sell side which we have been making progress on. So those are only three out of many, many examples but we see substantial opportunity ahead and we're going to just keep remaining -- we're going to remain focused on executing against our plan. We believe we're ahead of schedule but that's going to result in no let-up and we'd like to remain ahead of schedule.
Devin Ryan: Okay, terrific. Great context. Just a follow-up here. You had some areas of optimism for Asset Management. It would be great just to hear about any synergies between Advisory and Asset Management that you see I know there's been some discussions around maybe leveraging distribution capabilities with sponsor clients which are also important, obviously, to advisory as you're just talking about. So maybe talk about areas where there's potential to increase synergy to businesses. Maybe where advisers are already benefiting from some of those things? And are there other things you can do within Asset Management or vice versa, just to drive more synergy between the businesses?
Peter Orszag: This is a huge area for us that has been probably underexploited in the past and that we will be pursuing aggressively. Obviously, within the various compliance and regulatory rules that exist but substantial opportunities, let me give you some examples. The connectivity that our Private Capital Advisory business has often overlaps with parts of our management distribution team. There are opportunities for us to make sure that we are as coordinated as possible on that front. On the convening, that we find so effective -- content-rich convening that we find so effective on the Advisory side, getting CEOs together in small groups with substantial content around that. That also can port [ph] over very well to our Asset Management business. A great example is the geopolitical team that has differentiated insight. There was recently a client call on the asset side, using the geopolitical team, I don't know exactly how many clients on it but a lot of clients. Another illustration of the potential synergies. And I'd say, in general, the Lazard brand stands for differentiated insight, deep content and deep connectivity. And those are important attributes in both businesses. We have not been as aggressive at making sure that we are taking full advantage of those advantages -- taking full advantage of those features across both businesses and together and that's what we're doing going forward. So, I think your -- the question is a good one. It's one of -- it's an area of substantial focus and it's a significant opportunity for us as a firm to expand our revenue and our impact on clients going forward.
Operator: We'll take our next question from James Yaro with Goldman Sachs.
James Yaro: Maybe I could just start on restructuring. I do appreciate that you've had a much better 2024 year-on-year performance in restructuring as you build out the capabilities, as you talked about, Peter. As we look ahead, what is your outlook for restructuring over the balance of this year? And then is there any risk of the business beginning to tail off in 2025 as rates come down?
Peter Orszag: I think there's continuing -- the pace of new mandates has probably slowed slightly but I believe that it will remain at an elevated level going forward. There is a lot of differentiation across sectors and a lot of areas in which firms, even in an auspicious macro environment, still face challenges on their -- with regard to their liabilities and need help in reorganizing, refinancing, etcetera. So the business is -- it is good that we have diversified the business to cover both creditors and debtors and to expand beyond restructuring into liability management. That is where more of the activity going forward will be, we believe and our team is now aligned against that opportunity in a good way. So we see continued activity going forward. Obviously, in a lower rate environment, there may be a bit less of the activity than in a higher rate environment but nonetheless, still a lot of activity going forward.
James Yaro: Okay, that's very clear. Maybe just on the non-comp costs, they did step up a fair amount quarter-on-quarter. I recognize that probably a portion of that is related to travel. But maybe you could just speak to whether you see these non-comp levels as a good starting point going forward? Or perhaps was there some sort of seasonality in the quarter?
Peter Orszag: Mary Ann, take it.
Mary Ann Betsch: Yes. James, I'll take that one. Well, first, let me echo Peter's comment that we're totally committed to returning to our expense target ratios, including sub-20% for non-comp. So we've made progress, if you look at it on a percentage basis versus last year by about 150 basis points for the quarter. If you're thinking about it in dollar terms, for the second half of the year, I would probably expect a low single-digit increase versus the second half of 2023. And as you point out, that is a reflection of business activity picking up, increased recruiting costs, increased travel and also investments that we're continuing to make in technology.
Operator: We will take our next question from Brennan Hawken with UBS.
Brennan Hawken: Peter, you've spoken to a strategic priority of growing Private Capital Advisory. And you indicated earlier in the call that your total revenue tied to private credit is about 1/3 has been -- excuse me, a little over 1/3, your advisory revenue. So curious about where the contribution from the Private Capital Advisory business has been. And then when you think about that business, where do you view your current strengths and what capabilities are you most focused on, adding or enhancing initially?
Peter Orszag: Yes. Let me be clear just because I think the semantics can get a little confusing. We have a business called Private Capital Advisory that does primary and secondary fundraising for private equity. That is only one element of our interactions with private capital and it's only one piece of the more than 1/3 of our advisory revenue statistic that I mentioned is that statistic speaks to take all the advisory revenue and what share is coming from the capital regardless of whether it's through the PCA business or an M&A transaction on behalf of a private equity fund or a Lazard Capital Solutions mandate through a private capital source, etcetera; so that's all encompassing. I would say, with regard to Private Capital Advisory specifically, we have strength in both primary and secondary fundraising. Obviously, the business has been more robust. On the secondary side, we see significant expansion ahead in that part of the business. And again, that's only one part of our overall interactions with alternative asset managers on a large scale. So we -- in terms of the capabilities, I think we've got now the core elements of a private capital strategy and coverage effort that now just need to be further built out. So a great example just to get more granular for a second is in our sponsor coverage effort. So we have lots of interactions with alternative asset managers but to make that effort really pay off with regard to revenue, it's important that someone is waking up every morning, coordinating all the various different things that we're doing with regard to that specific alternative asset manager, making sure that the counterparty is aware of everything that -- that party is aware of everything that we're doing and that we're getting credit on their scorecards appropriately for what we're doing in our interactions. We recently made a senior hire to do sponsor coverage and that person is focused on the top handful of alternative asset managers. That has gone so well and has proven to be so effective, both internally in terms of the take-up and with regard to the feedback that I personally have gotten from the leadership at many of these firms, that we are now launching that out to the next layer -- of the next layer of alternative asset managers and private equity sponsors by asset size and we're going to continue cascading that out. And at some point, what you'll see is the full array of private capital being covered in that way and this is only one example because we've now got the very top. We historically through our middle market business which has now been fully integrated into Lazard, have the mid-cap sponsor community well covered and we're kind of filling in the middle of that distribution. So there's one specific example.
Brennan Hawken: That's very helpful, Peter. And then Mary Ann, a question for you. Curious to hear your updated expectations on the comp ratio this year. And last quarter, you had expressed an expectation that you'd be looking to 2025 to be moving back towards your longer-term target as quickly as possible. Is that still your expectation thinking about next year?
Mary Ann Betsch: So if we're thinking about 2025, I would agree with your characterization of my statements that we do intend to get back to the target range as quickly as possible. And also, I would just reiterate that, that's going to depend on many factors, including the pace of the revenue rebound. And Peter mentioned the hiring and deferral rates which play a part in future years as well. So I think it's a little early to predict exactly where we're going to land next year but I think we're going to get back to that range as quickly as we can.
Brennan Hawken: Great. And updated expectations for this year?
Mary Ann Betsch: So this year, I mean, as you know, our practice has been that we kind of set a rate at the beginning of the year and absent some dramatic change in fact, we sort of hold it until the fourth quarter. And I think Peter mentioned the things that we're thinking about relative to the 2024 full year rate and we'll have to see how the rest of the year plays out.
Operator: We will take our next question from Aidan Hall with KBW.
Aidan Hall: Peter, I wanted to ask about Lazard's capabilities and footprint in France. You mentioned in your prepared remarks, Lazard was always at the top of the league table in the first half of the year. So can you share what you're hearing from clients, just given some of the recent geopolitical turmoil? And then just remind us maybe kind of the footprint and talent that the company has here, whether from a capability standpoint or kind of sector coverage.
Peter Orszag: Sure. As you know, we've been in Paris for over 150 years. Lazard was founded by 3 French brothers in New Orleans. So the history is quite long. We maintain a storied franchise there with a brand that I think is unparalleled. That is reflected in the first half league table results. So it's an area of ongoing strength. I'd say with regard to sector coverage, we are very -- we cover the CAC 40 very well. And since those companies cut across different industries, the sectoral coverage out of Paris tends to be a reflection of the CAC 40 which involves an array of different industries from energy to health care to consumer and so on. The other point that's really important is I think part of what you're seeing with regard to our results is the ongoing ability for us to deliver an integrated team and the ability to see Paris and Lazard -- I mean, sorry -- Paris and London and the rest of the continent working as one unit which is what clients want and what we believe to be the most effective. So I think part of what's happening is also a reflection of that increasingly collaborative approach. With regards to the elections there, it depend on what happens with regard to what coalition has actually formed. But regardless of the scenario, we know that our clients look to us to help guide them through complexities. And so we will be there for our clients and we continue to look at France as an ongoing source of strength across the firm.
Aidan Hall: Great, appreciate the color. And maybe just a follow-up, a clean-up modeling question, Mary Ann. There's a couple of sizable deals that closed right at the start of the third quarter. Any way to quantify maybe any benefit or pull forward that came through in the 2Q results?
Mary Ann Betsch: Yes. So I would say you've seen the deals. You know that they're a bit chunkier than usual. So we did have more pull forward than we normally would in a quarter. And that's....
Peter Orszag: Yes. But I would just add that even apart from that, we see continued momentum that not be linear but that we see ongoing traction with clients. So there were some timing issues but we see ongoing activity continuing to pick up in the future.
Aidan Hall: Understood. Thanks for taking my questions.
Operator: Thank you. And there are no further questions at this time. And this will conclude today's Lazard second quarter 2024 earnings conference call. You may disconnect and have a good day.